Operator: Good day, and welcome to the Green Thumb Industries Fourth Quarter and Full-Year 2024 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] On today's call, management will provide prepared remarks and then we will open up the call for your questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Shay Caplice, Director of Communications for Green Thumb. Please go ahead.
Shay Caplice: Thank you, Betsy. Good afternoon, and welcome to Green Thumb's fourth quarter and full-year 2024 earnings call. I'm here today with Founder and CEO, Ben Kovler; President, Anthony Georgiadis; and Chief Financial Officer, Matt Faulkner. Today's discussion and response to questions may include forward-looking statements which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. These risks and uncertainties are detailed in the earnings press release issued today along with the report filed with the United States Security and Exchange Commission and Canadian Securities Regulators, including our most recent annual report filed on Form 10-K. This report along with today's earnings release can be found under the Investors section of our website. Green Thumb assumes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. Throughout the discussion, Green Thumb will refer to non-GAAP financial measures including EBITDA and adjusted EBITDA. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is included in our earnings press release and SEC and SEDAR+ filings. Please note that all financial information is provided in U.S. dollars unless otherwise indicated. Thanks, everyone, and now here's Ben.
Ben Kovler: Thanks, Shay. Good afternoon, everyone, and thank you for joining our fourth quarter and year-end 2024 conference call. It's been an interesting start to the new year as the new administration takes office in DC. There were high hopes for Federal Reform under Biden that did not materialize despite favorable conditions for a change to cannabis regulations. With the new administration, Trump's recent picks are not inciting optimism for progress, yet, THC demand is on the rise hitting record highs. As we've said from the beginning though, we have set ourselves up to succeed regardless of what does or does not happen at a federal level. Our North Star continues to be the American consumer. A 2023 study saw that nearly 43 billion Americans reported THC consumption in the last 30 days, which is a new high and makes the s-curve of adoption begin to go vertical. These trends are the lifeblood of our business and the reason we know cannabis in America is big and getting bigger despite the out-of-touch DEA and their goal of limiting access to wellbeing for American and our veterans. The DEA is clearly asleep at the wheel. But the Green Thumb team is wide awake, focused on the factors we can control to grow our business over the long-term and tuning out the noise. A quick note on the math of pricing pressure. Remember, if pricing is down 20%, the team has to deliver 25% more units to breakeven, and that math is tremendously powerful. So with that backdrop and in the face of pricing pressure, the Green Thumb team continued to deliver. You would not know if looking at the stock price, which is hovering at a 52-week low, but in the fourth quarter, we achieved record revenue of $294 million. Record adjusted EBITDA of $98 million. That's a 33% margin, and our full-year 2024 cash flow from operations was $195 million after paying $131 million in taxes. These numbers are quite an accomplishment to which I credit our team and senior leadership. I have been fortunate to work alongside an incredibly smart and loyal team with leaders who have been together for many years and that consistency and longevity matters. We win because of the team and we believe in the direction Green Thumb is heading in our bright future ahead for several reasons. First, our focus on cash flow and disciplined capital allocation has been critical to executing our strategy. Our cash flow and balance sheet allow us to sleep well. We ended 2024 with a strong balance sheet that gives us the optionality to maximize shareholder return through thoughtful CapEx, share repurchase programs and strategic M&A. In 2024, we engineered a historic industry-first, $150 million syndicated bank loan, which helped us retire $225 million in senior secured debt that was due in April 2025. With new financing in place, we delevered our balance sheet, maintained our cash interest expense, and added duration another five years to execute our growth plan. The interesting reality is that is only $150 million of leverage and was just $370 million of EBITDA. Second, our ability to innovate and evolve rapidly to seize opportunity in a dynamic environment. Today's most successful companies are masters of reinvention who see both disruption and new trends emerging simultaneously. They move quickly to capitalize on opportunities while others are dangerously complacent. We have tried to model Green Thumb in that way as we do not want to be the ostrich and stick our heads in the sand and miss something. Instead, we focus on what is best for the American consumer because after all, we are the American consumer. As consumers, we clearly see the trends that can propel Green Thumb forward and we are positioning ourselves to benefit. The changes in alcohol consumption versus cannabis consumption are too dramatic to ignore. We have all discussed the potential harmful effects of alcohol before. And on January 3, the Surgeon General advised the public on the now established link of alcohol and cancer. It's no surprise alcohol consumption rates continue to decline, especially with younger generations. Meanwhile, we are seeing more consumers turn to cannabis products as an alternative. Recently, we invested in Agrify, the owner of Señorita, the award-winning best tasting THC beverage on the market. We've been in the THC beverage space for years and bringing Señorita into the portfolio of brands is a great example of how we were able to act quickly when something makes sense like THC beverages. We are excited about our investment in Agrify as we believe tens of millions of Americans will become THC consumers in the coming years who are not today. One example to reach many of these new consumers is the Incredibles partnership with Magnolia Bakery. Not only do we sell these products at dispensaries around the country, but we sell the same product made from hemp on the Incredibles website and by local delivery in 23 markets across the United States through DoorDash. E-commerce and home delivery are changing the game by offering new convenient ways for customers to access product and allowing our brands to reach new markets and consumers. Turning to our traditional offerings. RYTHM continues to be the premier choice for cannabis consumers across the country, and we are always looking for ways to bring the premium cannabis brand to more consumers. We launched a first of its kind partnership with Chicago's renowned music venue, The Salt Shed, to showcase the RYTHM lifestyle. The venue hosts around 150 music shows a year, drawing over 600,000 people. In addition to showcasing the RYTHM brand, the partnership includes our new onsite retail experience, RISE at Salt Shed, which offers THC products from Beboe, Incredibles, and Señorita. In addition, Señorita is the venue's exclusive THC beverage available for purchase at all venue bars, so you can legally buy the best tasting THC drink on the market at Chicago's recently awarded best music venue. We are excited to continue exploring the potential of similar concepts to connect even more consumer to our brands through unique experience and quality products. Lastly, let's talk about something we all have in common. Sleep, according to the recent Harris Poll, 71% of adults 21 and over wish they slept better. The survey also highlights the popularity of cannabis infused edibles as a sleep aid. Our incredible Snoozzzeberry line is among the nation's bestselling cannabis products for sleep because we know that when you snooze, you win. It has been a very busy and productive year over here at Green Thumb. Thanks to each and every one of our 4,800 plus amazing team members who show up every day to work hard and share their passion for the plant. We are right on target doing what we said we would do, maximize the assets we have in place to generate long-term value for our stakeholders. Now I'm going to turn the call over to Anthony to cover our operations. Anthony?
Anthony Georgiadis: Thanks, Ben. As you just heard, despite facing significant challenges, our team delivered another exceptionally strong quarter, closing out a record setting year for Green Thumb with highlight some of the key achievements from both the quarter and the year. Expansion, in Q4, the company opened three new stores in Florida, Minnesota, and Nevada. Throughout 2024, we invested $80 million in CapEx, opening 10 new stores and bringing our total store count to 101 by year-end. We also made additional wholesale investments in New Jersey, Virginia, Connecticut, and Florida markets with significant growth potential. Brand performance, our award-winning brands, including RYTHM, Dogwalkers, incredibles, and Beboe, continue to perform exceptionally well. We are particularly proud of our market share gains in Ohio, Florida, Illinois, New Jersey, Maryland, Minnesota, and Pennsylvania. Our commitment to operational excellence, product quality and innovation, combined with our focus on the consumer has led to improvements in distribution and brand performance. Ohio launch. Our successful adult-use launch in Ohio was a major highlight. The cross functional collaboration between our retail, CPG and corporate teams was inspired and the results were even more exciting. Green Thumb branded products have quickly become the market leader in Ohio and with Dogwalkers set to launch there at some point this year, we are confident about our prospects in the Buckeye State for 2025. Team execution. Finally, our team executed nearly flawlessly throughout the year. On the CPG side, in addition to brand performance, we operationalized two large scale facilities in Virginia and New Jersey and made substantial investments to upgrade and expand our cultivation, extraction and production capabilities. In retail, we invested into our omnichannel offering, launched a new consumer-facing website and began a comprehensive review of our physical asset infrastructure, including store locations that will guide a large part of our 2025 retail CapEx spend. Two months into 2025 and in many ways it feels like déjà vu in the cannabis industry. One, we remain skeptical about the timing of any significant federal reform. As a reminder, we've been left at the – to altar the past two years, first with safe banking in 2023 and then with rescheduling last year. At the moment, it's hard to think anything. Anything will fundamentally change given the new administration's appointees who seem to be descendants of the Just Say No campaign of the '80s and early '90s. Two, we anticipate continued price erosion in many of our markets. The combination of supply demand imbalances, competition from unregulated and/or Farm Bill compliant products, and the current state of the consumer, leads us to believe that pricing and margins will remain under pressure throughout 2025. Despite these concerns, we are confident in the following. First, in our team's ability to navigate these regulatory and pressure-related challenges. Second, consumer demand for THC. Although it's difficult to measure aggregate cannabis consumption with the proliferation of Farm Bill compliant products, it's undeniable that the demand for THC in the U.S. is both robust and growing. Couple this with the recent negative press and decline in alcohol consumption and the setup is there for THC to take center stage with the U.S. consumer for the next decade. Looking ahead to 2025, our overall capital plan is expected to closely align with the $80 million we spent in 2024. The majority of our 2025 retail spend will be directed to renovations and relocations across Minnesota, Virginia, Ohio and Pennsylvania, as well as select number of new store openings in Nevada, Ohio and Florida. Additionally, we intend to continue making targeted investments in our wholesale business via additional cultivation capacity and automation initiatives. In terms of strategy, within CPG, we plan to continue to invest into our New Jersey, New York and Connecticut facilities, innovate and expand our brand and product portfolios, leverage strategic partnerships to build visibility and grow share with new audiences, and focus on driving operational efficiency and product quality. In retail, we plan to continue to invest into our RISE retail brand, further refine our omnichannel business and strategy, and push ourselves to optimize the consumer experience with a focus on where and when consumers shop for cannabis. Additionally, we have already started our prep work for the launch of adult-use sales in Minnesota, which is expected to commence before year-end. Our success in executing these strategies will be determined by our relentless focus on the consumer. Our ability to strengthen our competitive market positions, our commitment to investing capital and projects that maximize shareholder returns, and our ongoing investment in our team, who are the foundation of our organization and central to everything we do. With that, I'll turn the call over to Matt to review our financial results.
Matt Faulkner: Thanks, Anthony, and hello, everyone. In the fourth quarter, we delivered over $294 million in revenue, a 6% increase compared to the prior year period. Revenue was primarily driven by increased consumer packaged goods sales. Overall retail revenue increased 1% versus the fourth quarter of 2023, reflecting continued growth in existing markets of New York, Florida and Maryland, the addition of adult-use sales in Ohio and the opening of 10 incremental RISE Dispensaries since the prior year period. The increase was mostly offset by continued price compression in many of our markets. Fourth quarter 2024 comparable sales for stores open at least 12 months decreased 2.6% versus the prior year on a base of 84 stores due to continued pricing pressures. Consumer packaged goods net revenue for the fourth quarter 2024 increased 22% versus the prior year period, driven by continued growth in existing markets of New York and New Jersey, and the addition of adult-use sales in Ohio. Looking forward, we expect first quarter sequential revenue to be down mid-single digits as we anticipate seasonality and pricing declines. Gross profit for the fourth quarter was $158 million or 54% of revenue, up from $143 million or 51% of revenue year-over-year. Operational efficiencies as well as lower prices on retail inventory helped offset price compression in many markets. Turning to OpEx, selling, general and administrative expenses for the fourth quarter were $101 million or 34% of revenue compared to $92 million or 33% of revenue for the fourth quarter last year. Total expenses increased primarily due to increased compensation costs. SG&A excluding depreciation, amortization, one-time transaction costs and stock-based comp, which we refer to as normalized operating costs, approximated $71 million compared to $61 million in the fourth quarter of last year. The increase year-over-year is mainly attributed to the 10 incremental retail stores. The company generated net income of $13 million or $0.04 per diluted share, up from net income of $3 million or $0.01 per diluted share in the prior year period. Adjusted EBITDA, which excludes non-cash stock-based compensation and other non-operating costs, was $98 million up from $91 million for the fourth quarter of 2023. Along with continued pricing challenges that will pressure margins in the coming quarters, we plan to continue to invest in our brands, which will weigh upon SG&A. This in turn will push adjusted EBITDA below our longstanding 30% target. We ended the fourth quarter with a strong balance sheet including cash of $172 million and working capital of $239 million. Cash flow from operations for the year came in at $191 million after paying $131 million in income taxes. In conclusion, we are pleased with our team's outstanding performance in 2024 and appreciate their ongoing commitment and contributions to Green Thumb. Together, we remain committed to driving long-term growth while ensuring prudent capital allocation and cost efficiency. We also appreciate the trust and confidence of our shareholders and look forward to providing further updates in our next call. With that, I'll open the call to your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Matt Bottomley with Canaccord Genuity. Please go ahead.
Matt Bottomley: Yes. Good evening, everyone. Thanks for the question. I'm just wondering if you can provide a little more color in whatever level of detail you can at this point with respect to the distribution model or the potential for increasing hemp-derived THC products. So you've had some of your peers whether U.S., even some in Canada, that have kind of started to maybe crawl before they walk in that space. And it's something that you guys have alluded to already in your prepared remarks. But there's obviously the Circle K relationship in terms of what was originally planned in Florida. You mentioned Agrify a little bit. And I'm just curious if you think this is something for maybe investors to be a little more cautious about or if you think the ability for growth in this sector through channels other than just the state-by-state traditional THC regulation, if this is something that maybe has some legs to it in the coming years here?
Ben Kovler: Sure. Thanks, Matt. It's Ben. I can attempt to take that. I'm not positive exactly the specific question. But look, the product is available via DoorDash. So if you're in 23 markets across the U.S., you can get an incredibles chocolate bar which is the best tasting chocolate cannabis bar, arguably the best tasting chocolate bar around within an hour. So for investors to not pay attention to that would be silly. I think if that was your question. We can deliver it, we can sell Beboe online, we're developing memberships and all sorts of things. And basically the whole reason for this, that's the output of people want the product, it's safe, they're demanding alternatives and market forces are coming true. So we're heavily focused on the demand and the consumer and making life better for the consumer. And that's what we're up to. So you don't want to have to drive somewhere far away and go through a production in a parking lot and all kinds of things. There are many, many easier ways. You can go to Spec's, ABC, Binny's, Total Wine, and you can get the product there. So it's a pretty exciting time if you're in the cannabis supply space and you understand the consumer.
Matt Bottomley: Got it. I'm wondering if I could just ask quickly on the CapEx of $80 million that you guys mentioned. So obviously, the sector overall is kind of starved for capital. And if you look at some of the CapEx projections within the industry, they're significantly lower. And I think some of that is probably just a function of not – others not having the capital to do it. But just in terms of return on investment of those dollars, you guys are in pretty good shape from a cash flow yield perspective and it's not really a commentary on whether that's too much relative to the size of your operations. But just given how limited it seems to be in the industry, is that really just a function of others not having the capital given that your sort of guided number is somewhat higher?
Ben Kovler: Yes. I mean, look at the last few years. I think we've been a massive majority of the CapEx in the business, which is propelling the business because we got the right product that people want on the right brand. Like it is a full circle situation. I do not understand where other companies are going to get the money to invest in their business when they don't have the money to pay taxes or interest, let alone invest in growth. So it's a real haves and have-nots situation. It's pretty stark, it's pretty dire, and we're going to invest the money bottom up on where we can get the returns with a long-term focus on continuing to invest in the business that we have. That's really awesome. Spitting out cash and go play offense while we defend what we have. But you're totally right. And this is a stat we've been calling out for years. If you don't invest in your business, you can't grow. And if you don't pay taxes, you become insolvent.
Matt Bottomley: Okay. Thanks, guys. I'll leave it there.
Operator: The next question comes from Aaron Grey with Alliance Global Partners. Please go ahead.
Aaron Grey: Good evening, and thank you for the question. Just want to talk a bit about the margin profile. I believe you mentioned in the prepared remarks potential for it to fall below the long-term up 30% temporarily, had a very strong 4Q both in terms of gross margin as well as EBITDA margin. So just that maybe a bit deeper as you've done a great job of offsetting some of the broader pricing pressure. As you look forward to 2025, do you see potential with that pricing pressure to worsen, getting some of the troubles that your competitors have? Or are you potential seeing opportunity to play offense as you disregarded Ben to get more aggressive to drive growth while others are struggling with their balance sheet, may not have the ability to do so? So any color that would be appreciated. Thank you.
Matt Faulkner: Yes. Thanks for the question, Aaron. So I think, when you think about pricing pressures, we've seen double-digit declines. We're anticipating similar results for 2025. And the industry is feeling the pressures across pretty much every state that we operate in, we're seeing similar trends. It clearly varies depending upon some of the markets, but we do expect that to continue and weigh on the topline, which is then going to have an impact on an adjusted EBITDA as a percentage of the topline there. So hard to predict where it goes, but we definitely have braced ourselves for continued pricing pressures to happen in 2025.
Aaron Grey: Okay. Great. Thanks for the detail. I'll jump back in the queue.
Operator: The next question comes from Eric Des Lauriers with Craig-Hallum. Please go ahead.
Eric Des Lauriers: Great. Thank you for taking my questions, and congrats on the very strong CPG growth and overall efficiency management. My question is on marketing expense increases. Certainly makes sense your guys' ability and willingness to sort of play offense as others are stepping back here. I'm just wondering if you could expand a bit more on sort of your plans for marketing in 2025. Is this just kind of more advertising, more dollars towards DoorDash and the like, more partnerships? Just wondering, if you could provide a bit more color, I mean, it certainly seems like a winning strategy at this time and I was wondering if you have any more to share? Thank you.
Ben Kovler: Yes. Hey, Eric, it's Ben. I don't think we have much more to share. Not crazy to go give you the plans. Rather you see it and be impressed and surprised and excited. Look, the country is turning to weed. We need to show them with a credible way how to do it. We need to educate and we need to do it with people with influence that people look up to and respect and show everybody that cannabis is real and it's out there, it's healthy and it's a better way. And lucky for us, lucky for our shareholders, we've got the balance sheet, we've got the cash and we're ready to go put it to work. And we've figured out how to work in this weird environment of how to get money out there and have it be clean and not tainted and operate in a cannabis, non-cannabis, cannabis world, which is really quirky, but we're pretty good at it. So we're really, really excited about what's ahead as we can drive major, major awareness around the country's best cannabis brands. We're excited to get behind them.
Eric Des Lauriers: Great. Thanks for the color. Congrats again.
Ben Kovler: Sure.
Operator: The next question comes from Frederico Gomes with ATB Capital Markets. Please go ahead.
Frederico Gomes: Hi. Good evening. Congrats on the quarter. Thanks for taking my question. Just a question on Minnesota, given that I think that's the only state starting adult-use this year. Could you remind us about your expectations for the size of that market, the competitive environment once adult-use sales start later this year?
Anthony Georgiadis: Yes. Great question. Anthony here. Look, I'll say the crystal ball is not showing us a lot right now on Minnesota. Zoom out, what you have here is you have a medical market with two operators. You've got a population of 6 million plus. And you've got massive consumer demand for cannabis. It's unclear how that market is going to unfold in terms of timing and structure. We're all kind of sitting here waiting. We know the state is working hard on the regs as we speak and working on the plan. But I'll tell you right now, this one is very murky for us. And so in terms of the prep, I'll just kind of tell you some of the prep work that we've done. We've tried to get the stores ready for hopefully increased traffic and we just continue to refine our product line and our product quality in the state to get ready for adult-use. We've got great RYTHM flower in there. I'd say, across board, we've got some one [Bud Ace] in the market. It's a hell of a market to be a patient in and we're excited for adult-use to start whenever that maybe in 2025.
Frederico Gomes: Thank you very much.
Operator: The next question comes from Pablo Zuanic with Zuanic & Associates. Please go ahead.
Pablo Zuanic: Thank you. Anthony, just going back to the same derivatives, can you explain why are you doing the drinks outside of Green Thumb via Agrify? And in the case of variables, you are doing it apparently through Green Thumb on the deal with Magnolia Bakery. I'm just trying to understand the logic of how you're managing that. Thanks.
Ben Kovler: Sure. I mean, I can take that. Pablo, it's Ben. The landscape is forming as we go. We're trying to optimize every dollar for shareholders and we're keeping maximum flexibility. But in a fully legal business, it makes no sense not to do it on a NASDAQ-listed company that can show how great the growth is going to be in this country with THC. Why do it in a Canadian company where really no institutional investors have the ability to buy the stock. And so we're trying to be opportunistic for shareholders. We see this as a massive opportunity for Green Thumb holders and a not yet fully understood market, that soon will be more understood. So we think we're in the right place ahead of time and a good spot to be for shareholders.
Pablo Zuanic: But on that point, I mean, the opportunity where it's hemp edibles or hemp drinks is just as good or do you think that one is better than the other?
Ben Kovler: It depends on the cash. It depends on a lot of things that happen. We think both are material opportunities. Billions and billions of dollars of opportunities. And to quantify those has a lot of ifs. But if something is going to go from zero to billions, we want to be there. One is already well off and started and the other isn't.
Pablo Zuanic: Got it. Thank you. Just a follow-up. Of course, congrats on the 20% growth in wholesale. That's amazing in the current environment. Specifically regarding New York, right, we're seeing a lot of new stores open, maybe more AR risk there. Just talk about how you're managing that? It seems like a lot of your peers in New York did not expand on time. So I mean, it's a great opportunity, but I'm just trying to understand how you're managing the risk to a lot of new stores opening. I think it's 200 now. Some maybe weaker customers out there. How do you manage that? Thanks.
Anthony Georgiadis: Yes, Pablo. Yes. Another really good question. I mean, look, we're becoming tremendously excited about New York. We started to see some real kind of real growth starting in the back half of last year and we're starting to really invest into it. Anecdotally, we're hearing that our flower is on the top in the state. Not a lot of folks have indoor capacity, so it's kind of a competitive advantage that we're really leaning on as we speak. But looking ahead, we've got big plans for New York in 2025 and beyond. We're going to build this thing from the ground up. It's going to take some time. And I would say, we're just going to do it in our methodical process where we just look for incremental gain month-after-month, quarter-after-quarter, week-after-week. It's the same playbook we've run-in other states and we're pretty excited about the possibilities given the population and tourism in that state.
Pablo Zuanic: That's great. Thank you. Look, Ben, if you don't mind, I'm going to add one more. I mean, obviously, you have to plan based on what you can control. I understand that. But compared to some of your peers, I mean, you sound a little more negative on the reform front. I mean, some people are talking about promises made, promises kept, the two social tweets by the President. Other people are very excited about Kennedy Jr. being the HHS Secretary. Maybe just help me connect that disconnect, right? I mean, other people are quite positive, you sound a little more negative.
Ben Kovler: I mean, Pablo, we've seen things differently than our peers for a long time. I think it shows up in the balance sheet, in the cash flow, in the net income. And we are not optimistic on changes from DC. Look at the appointees and look at Kennedy's, total 180. So instead, we're going to play offense exactly where we can control in the massive growth markets where nobody else is. So it's exactly where you want to play. I mean, it's the setup if you zoom out to look back of exactly the right time to go very aggressive into a market. We are flushed with cash, we are spitting out cash and everybody is scared. So we're not. We love the product, we love the brands and we think the people in DC are out to lunch. We think the DEA is corrupt and misguided and out to lunch. So it's not a popular opinion, it's controversial, but it guides how we allocate dollars, it helps us understand who the consumer is and allows us to win. So being on an island away from our peers is welcome over here, no problem.
Pablo Zuanic: Got it. Thank you, and congrats, again.
Anthony Georgiadis: Thank you.
Operator: The next question comes from Bill Kirk with ROTH Capital Partners. Please go ahead.
Bill Kirk: Good evening, everybody. Ben, I would love to take a step back and rather than try to handicap those regulatory scenarios, could you spend maybe a couple of minutes on what your dream federal scenario among those reasonable possibilities would be? Because the way I see it operationally, the existing scheduling setup seems to suit you quite well. You can see it in the results. However, the capital markets perspective, you don't get credit or full credit for it. So some change there would obviously be welcomed. So what is or what would be your ideal best federal treatment for Green Thumb balancing those considerations?
Ben Kovler: It's a great question. Thanks, Bill. I think you're right. I don't know. I mean, my candid answer, and I don't mean to be flip, I just don't spend a lot of time dreaming. I mean, it's like look at the cards you've got and play the game that's out there. So we understand Farm Bill being closed. We think that this product that is dangerous for kids should be regulated, obviously. And so we go with the common sense approach, bottom up on every single thing. To go in and try to change the scheduling, the tax regime and add a cannabis branch to the federal government and figure out a federal surcharge tax and handle all, it's like it's not a place that we spend a lot of time in a dream scenario. It's sort of like what's in front of us, safe banking or not, Farm Bill or not, reschedule, deschedule. I mean, remember that discussion? Like, obviously, this thing should be rescheduled. Obviously. And obviously, the product should be available for U.S. veterans that are at the ultimate moment choosing to kill themselves every day without access to cannabis. I mean, just common sense approach with a little empathy, not a hundred acronyms in DC to figure out, who's going to regulate or what. So I think it's a very good question, but pushing on a string and playing in fantasy land is not our game. We understand, we want the product available for consumers that want it. That's our ultimate. So we want when people are going out, everywhere they're drinking a beer or where they can smoke cigarettes safely outside, they should be able to smoke a joint, buy a joint, buy a cannabis drink and be able to consume because we think that's a better America. That's a better tomorrow. That's more well-being, less hangovers, less fights, less problems. The evidence shows that it's just going to take the country several more years, if not a decade.
Bill Kirk: Thank you. I like that answer and good luck.
Ben Kovler: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over for any closing remarks.
Ben Kovler: So thanks, it's Ben. Head over to senoritadrinks.com. Buy these drinks, check them out. I guarantee you're going to like them. If you don't, send me an e-mail. Code, KOVLER25 for 25% off on a big order. Send pictures, post it. We've got a lot of good things going on here. Thanks for joining. We'll talk to you guys in 90 days.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.